Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden Incorporated Fourth Quarter 2015 Earnings Release Conference Call. Just a reminder, this call is being recorded. At this time, you are in a listen-only mode. Later, we will conduct a question-and-answer session. I would now like to turn the call over to Matt Tractenberg. Please go ahead, sir.
Matthew Tractenberg - Vice President-Investor Relations: Thank you, Tracy. Good morning everyone and thank you for joining us today for Belden's fourth quarter and full year 2015 earnings conference call. My name is Matt Tractenberg. I'm Belden's Vice President of Investor Relations. With me here this morning are John Stroup, President and CEO and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business and then Henk will provide a detailed review of our financials and operating results followed by Q& A. We issued our earnings release earlier this morning and we have prepared a slide presentation that we will reference on this call. The press release, presentation and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to slide two in the presentation, during this call, management will make certain forward-looking statements. I'd like to remind you that any forward-looking information we provide is given in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The comments we will make today are management's best judgment based on information currently available. Actual results could differ materially from any forward-looking statements that we make, and the company disclaims any obligation to update this information to reflect future developments after this call. For a more complete discussion of factors that could have an impact on the company's actual results, please review today's press release and our annual report on Form 10-K. Additionally, during today's call management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, we have provided a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. This reconciliation is in the appendix of the presentation and has been posted separately to the investor relations section of our website. I'll now turn the call over to our President and CEO, John Stroup. John?
John S. Stroup - President, Chief Executive Officer & Director: Thank you, Matt, and good morning, everyone. As a reminder, I'll be referring to adjusted results today. Please turn to slide three in our presentation for a review of our fourth quarter highlights. We are thrilled to report record results for the quarter and the full year. Despite a host of challenging macroeconomic factors, our attractive portfolio, robust business system, and dedicated global team was up to the challenge. This level of earnings growth and margin expansion in this macroeconomic environment is obviously quite special. I'm extremely pleased with our record fourth quarter performance including gross profit margins, EBITDA margins, and earnings per share. Free cash flow was exceptional in the quarter totaling almost $130 million. This allowed us to pay down $150 million of debt, bringing our net leverage to 3.6 times EBITDA at the end of the year, an improvement of 0.3 turns since the third quarter. Debt reduction will remain a priority this year as we strive to achieve our goal of approximately three times EBITDA in 2016. I'd like to thank our associates for their hard work during the quarter and their commitment to aggressively executing our strategic plan. Overall, the business performed well with strong results from our Broadband connectivity, Enterprise, and Network Security businesses. Revenues for the fourth quarter were $602.5 million. On a constant currency basis, revenues grew by 2.9%. A stronger U.S. dollar and lower copper prices had an approximate $41.5 million unfavorable impact on revenues. Our Enterprise and Network Security platforms delivered robust organic growth of 7.8% and 13.1%, respectively. In line with both expectations and peer results, the softer macroenvironment impacted both of our Industrial platforms, declining 10.3% organically on a combined basis. All of these results are on a year-over-year basis. Gross profit margins were 43.1% for the fourth quarter, an increase of 570 basis points from the year-ago period and a company record. This improvement was a result of productivity initiatives and successful acquisition integration. I'm especially pleased with our EBITDA margins in the fourth quarter, a record 19%; a year-over-year increase of 270 basis points. As a result, we delivered a company record $114.6 million of EBITDA during the quarter, an increase of 14.9% from the prior-year period. This resulted in record earnings per diluted share of $1.63 in the fourth quarter, an increase of 31.5% from the year-ago period. Please turn to slide four for a brief discussion of our full-year 2015 results. It was a year of external challenges and internal successes. A rapidly strengthening U.S. dollar, drastically falling energy prices and emerging market volatility required us to take swift action to protect margins. I believe we identified the right issues quickly and it took appropriate measures. But we also celebrate our successes, and market share capture during the year was exceptional. With all our platforms contributing, it's clear that our Market Delivery System, investments in product innovation, and customer satisfaction programs are working. Revenues for the year were a record $2.36 billion. A stronger U.S. dollar and lower copper prices had an approximate $173 million unfavorable impact on revenues during the year. On a constant currency basis, revenues grew by 7.4% from the full year 2014. Record gross profit margins were 41.6% for the year, an increase of 460 basis points from 2014 and continue to be best-in-class. As we've done consistently for years, share capture, effective acquisition integration and productivity initiatives allowed us to drive EBITDA margins to their highest level in company history, 17% of revenues for the full year, an increase of 150 basis points from 2014. We remain focused on attaining the goal of EBITDA margins within 18% to 20% for a full-year period. Earnings per share was $4.98, also a company record, and an increase of 17.7% from the prior year. Please turn to slide five for a review of our business segment results. Broadcast revenue in the quarter was $239.5 million as compared to $253.2 million in the year ago period. A stronger U.S. dollar and lower copper prices had an approximate $10.2 million unfavorable impact on revenues relative to last year. Demand varied by geography with revenues in the United States up 7.4%. Revenues in EMEA declined 17% in the period due in part to the strong U.S. dollar and low oil prices. EBITDA margins were 19.5%, increasing 200 basis points year-over-year, and benefiting from the weaker Canadian dollar. While demand outside the United States is challenging, the team looks forward to growth in 2016. In addition to the Summer Olympics and U.S. Presidential elections, we are excited by the progress made with our comprehensive IP solution. During the quarter, we booked seven new IP projects and shipped four of them. Also we entered 2016 with almost $15 million more backlog than one year ago. Revenue within our Enterprise platform was $109.4 million. Changes in currency and copper prices had an approximate $10 million unfavorable impact on revenues relative to last year. On an organic basis, revenues increased by 7.8% year-over-year. EBITDA margins were 16.7% during the quarter, an increase of 360 basis points from the prior year period. Congratulations to the team on an outstanding year in both revenue growth and margin expansion. Our Industrial platforms experienced the same market softness that many of our peers, customers and partners have recently reported. Changes in currency and copper prices had an unfavorable impact to combined revenues of $21.2 million relative to last year. Revenues declined organically by 10.3%, a result of reduced demand from our oil and gas customers, and U.S. machine builders impacted by the strong U.S. dollar. Industrial Connectivity had revenue for the quarter of $141.8 million, down 10.5% organically from the year ago period. Growth in Asia of 6.4% was driven by demand from discrete manufacturers. This was offset by weakness in the United States and Canada, down 14.8% year-over-year, a result of the previously mentioned items. EBITDA margins were 16.8% for the fourth quarter, up 160 basis points. I'm pleased with the platform's ability to expand profit margins in this challenging environment, a function of improved mix and lower input costs. Industrial IT had revenue of $62.8 million, a decrease of 10% organically from the fourth quarter of 2014. This was somewhat offset by exceptional growth of 18% from our European customers who are benefiting from the weaker euro. The teams also capitalized on some great opportunities in China during the quarter, winning six transportation projects worth several million dollars combined. As a result of this lower volume, EBITDA margins decreased 250 basis points from the year-ago period. The productivity initiatives introduced last quarter for the Industrial platforms include manufacturing consolidation. Those programs are on track to deliver $6 million of savings in 2016 and $17 million of savings in 2017. And finally, our Network Security platform increased revenues by 13.1% organically to $48.9 million. Bookings during the quarter increased 19.2%, a solid finish to their first year with Belden. During the quarter, notable performance was seen in Asia and EMEA with orders from new customers doubling from the prior year. It was also another record quarter for large projects at Tripwire highlighting the value they bring to large global customers. EBITDA margins in the quarter were 30%. For the full year 2015, Tripwire slightly exceeded the targets we set for ourselves upon announcement and added more than 250 new customers. I look forward to another successful year in 2016. I will now ask Henk to provide additional insight into our fourth quarter financial performance. Henk?
Hendrikus Derksen - Chief Financial Officer & Senior Vice President-Finance: Thank you, John. I will start my comments with results for the quarter followed by a review of our operations and segment results, discussion of the balance sheet, and close with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to slide six for a detailed consolidated review. Fourth quarter consolidated revenues were $602.5 million. Compared to the fourth quarter 2014, revenues declined 1.8% from $613.7 million. Currency translation unfavorably impacted revenue by approximately $29 million compared to the year-ago period. After adjusting for this, revenues increased in the fourth quarter by 2.9% year-over-year. Copper had an unfavorable impact of $12.6 million and acquisitions contributed $50.8 million. On an organic basis, revenues declined 3.3% from the year-ago period. Sequentially, revenues increased $12.4 million from $590.1 million. On an organic basis revenues increased 3.4%, in line with typical seasonality. Gross profit margins were a record 43.1%, increasing 570 basis points from the year-ago period. Inorganic activities contributed 390 basis points, with productivity driving the remainder. Sequentially, gross profit margins increased 230 basis points. This was a function of productivity and a richer mix from seasonality. Operating expenses for the quarter were $156.7 million, or 26% of revenue. After adjusting for the impacts of currency and acquisitions, operating expenses declined $5.8 million year-over-year, attributable to productivity programs. On a constant currency basis, operating expenses increased $2.5 million sequentially. This was driven by investments in new product developments. EBITDA margins for the quarter were a record 19%, up 270 basis points year-over-year and 250 basis points sequentially. Net interest expense for the quarter was $26.6 million, an increase of $3.3 million from the year ago period. We expect interest expense to be approximately $25 million in the first quarter and $95 million for the full year 2016. The adjusted effective tax rate for the fourth quarter was 9.6%, which compares favorable to our guided 17%, a result of recent changes in U.S. tax legislation. For financial modeling purposes, we recommend using a 20% effective tax rate for the first quarter and full year 2016. EPS increased 31.5% from the year-ago period and 43% sequentially to a record of $1.63 per share in the fourth quarter 2015. For the full year 2015, EPS increased 17.7% to $4.98, a company record. Please turn to slide seven. I will now discuss revenues and operating results by business segments. Broadcast Solutions generated revenues of $239.5 million during the fourth quarter. Compared to year-ago period, revenues decreased $13.7 million from $253.2 million. After adjusting for changes in copper and currency, organic revenues decreased 1.4% year-over-year. Sequentially, revenues increased $11.4 million in line with typical seasonality. EBITDA margins of 19.5% reflect an increase of 200 basis points year-over-year, a function of effective execution on cost improvement programs announced earlier in the year. Sequentially, EBITDA margins increased 420 basis points, a result of continued productivity improvements and a favorable mix. Our Enterprise Connectivity platform generated revenues of $109.4 million during the fourth quarter, decreasing $1.4 million year-over-year from $110.8 million. This platform faced a $5.8 million headwind from currency translation and a $4.2 million unfavorable impact from lower copper prices. On an organic basis, growth in the quarter was 7.8% year-over-year, a result of solid demands for our products and strong execution by the team. Sequentially, revenues decreased $4.4 million, a decrease of 2.1% organically, better than typical seasonality. EBITDA margins increased 360 basis points year-over-year and 70 basis points sequentially. For the full year 2015, EBITDA margins were 16.1%, expanding 160 basis points on a year-over-year basis, an outstanding performance. The Industrial Connectivity platform generated revenues of $141.8 million. This platform revenues were negatively impacted by $9 million from currency translation and $6.6 million from copper compared to the fourth quarter of 2014. Organic revenues declined 10.5% year-over-year and 2% sequentially. However, I'm encouraged by the strong book-to-bill ratio of 1.06 for the quarter. EBITDA margins of 16.8% increased 160 basis points year-over-year due primarily to mix and lower input costs. Sequentially margins improved 110 basis points, a function of productivity improvements in the quarter. The Industrial IT platform generated revenues of $62.8 million, declining $13.2 million from the year ago period. Currency negatively impacted revenues by $5.7 million compared to the year-ago period. On an organic basis, revenues declined 10% from the fourth quarter 2014. Sequentially, revenues increased $3.6 million, an increase of 7.1% organically. EBITDA margins of 18.4% declined 250 basis points year-over-year. Sequentially, they improved 70 basis points, a result of leverage on volume. Finally, our Network Security platform continues to perform well, generating revenues of $48.9 million in the fourth quarter, up $7.5 million sequentially. EBITDA margins for the quarter were 30%, increasing 280 basis points sequentially. You'll please turn to slide eight, I will begin with our balance sheet highlights. Our cash and cash equivalents balance at the end of the fourth quarter was $217 million compared to $242 million in the prior quarter, and $741 million in the prior year as we prepared to acquire Tripwire. During the fourth quarter we paid down $150 million of our outstanding debt, reducing our balance from $1.91 billion in the third quarter to $1.75 billion at the end of the fourth quarter. Inventory turnover was 7.1 turns, an improvement of 0.2 turns year-over-year and 0.4 turns sequentially. Days sales outstanding was 62 days in the fourth quarter, an increase of three days year-over-year, and a decrease of one day sequentially. PP&E turnover was 7.7 turns, an improvement of 0.3 turns sequentially and remained flat year-over-year. As expected, net leverage was 3.6 times net debt-to-EBITDA at the end of the quarter. We continue to focus on achieving our target net leverage of approximately 3.0 times by the end of this year. Please turn to slide nine for a few cash flow highlights. Cash flows provided by operating activities for the fourth quarter were $144.4 million. Net capital expenditures for the quarter were $15.5 million. Free cash flow was $129 million in the fourth quarter 2015. As expected, free cash flow for the full year 2015 was $182 million or 85% of net income. This was a result of cash allocated to productivity programs in the year. Achieving free cash flow above net income remains a priority in 2016. That completes my prepared remarks. I would now like to turn this call back to our CEO, John Stroup, for the outlook. John?
John S. Stroup - President, Chief Executive Officer & Director: Thank you, Henk. Please turn to slide 10 for our outlook regarding the first quarter and full-year 2016 results. While the world seems to finally be coming to grips with the reality of an industrial recession, Belden's portfolio and operating structure has the ability to perform well in a variety of business climates. We anticipate first quarter 2016 revenues to be between $530 million and $550 million, and adjusted income from continuing operations per diluted share is expected to be between $0.90 and $1. For the full year, we continue to expect revenues to be between $2.295 billion and $2.345 billion. The expected range of adjusted income from continuing operations per diluted share is still $5.10 to $5.40. That concludes our prepared remarks. Tracy, please open the call to questions.
Operator: Matt Tractenberg your first question is from Shawn Harrison with Longbow Research.
Shawn M. Harrison - Longbow Research LLC: Good morning, everyone. Can you hear me?
Matthew Tractenberg - Vice President-Investor Relations: Yeah. Hi, Shawn.
John S. Stroup - President, Chief Executive Officer & Director: Good morning.
Shawn M. Harrison - Longbow Research LLC: Good morning. I guess, the first question is, considering guidance was unchanged for 90 days ago, the world – at least the stock market feels a little bit different. If you could maybe talk about what puts and takes you've seen across the businesses as you think about 2016 now, if any, relative to when you held that analyst – I guess, it was just 60 days ago the Analyst Day there.
John S. Stroup - President, Chief Executive Officer & Director: Yeah, Shawn. I would say from the December Analyst Investor Day we had until now, internally nothing's really changed. We haven't really seen any changes in order patterns, any changes in customer sentiment. I would say, externally, it sure feels to me like the rest of the world is starting to feel the same way we were expressing ourself last December. So it does feel to me like the sentiment may be is caught up a little bit to what we were sharing with folks back in December, and, of course, all the way back to Q2 when we first said, look, we're starting to see some weakness in our Industrial funnel. But the quarter played out almost exactly as we expected, strengthened Tripwire, strengthened Enterprise, strengthened Broadband, weakness in our Industrial businesses. Our orders in January are exactly where we thought they would be. So although none of us like having to deal with weakness in our Industrial businesses, I would say that things are happening very much as we thought they would.
Shawn M. Harrison - Longbow Research LLC: That's helpful, John. I guess one of the focus areas for the year is, within Broadcast, particularly Grass Valley, is seeing a potential bump either from the U.S. elections or the Olympics. Is there any change in thinking about how that benefits Grass Valley in 2016?
John S. Stroup - President, Chief Executive Officer & Director: I'd say our thinking is the same. We believe there'll be some growth in 2016 compared to 2015 with Grass Valley for the reasons you cited. We're also encouraged by the success early, albeit, of our IT products having booked seven projects and shipped four in the fourth quarter, that's obviously a very good sign. And orders in January were good for Grass Valley. We are entering the year with more backlog than we had a year ago, $15 million more. So if you just take the backlog head start compared to the revenues in 2015, you've got almost 4% growth right there. So it feels to me like we're on track for growth in 2016 with Grass Valley compared to 2015.
Shawn M. Harrison - Longbow Research LLC: Great. And one last question if I may, is there any debt reduction plan in the first half of 2016 incrementally?
John S. Stroup - President, Chief Executive Officer & Director: So, as you know, Shawn, our free cash flow is seasonally backend-loaded. In the first quarter, we have a number of cash outflows, including rebates to our distributor partners, including the payment of our management incentive program. And so I think it's unlikely that there would be substantial debt reduction in the first quarter or half, most of it's going to come in the second half.
Shawn M. Harrison - Longbow Research LLC: Great, John. Thanks so much and congrats on the results everybody.
Hendrikus Derksen - Chief Financial Officer & Senior Vice President-Finance: Thank you.
John S. Stroup - President, Chief Executive Officer & Director: Thank you very much.
Operator: We will take our next question from Noelle Dilts with Stifel.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning.
John S. Stroup - President, Chief Executive Officer & Director: Good morning.
Hendrikus Derksen - Chief Financial Officer & Senior Vice President-Finance: Good morning (26:32).
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: My first question is pretty broad, but just hoping you could walk us through some of your expectations for the four platforms as we look into 2016 and how to think about revenue growth and margins across the four platforms?
John S. Stroup - President, Chief Executive Officer & Director: Sure. So in 2016, it's our expectation that we're going to continue to see strong revenue growth in our Network Security platform our Enterprise Connectivity platform; and in the Broadcast platform, as I mentioned, we would expect to see modest growth with Grass Valley, and I would expect to see strong growth again out of our Broadband Connectivity business. I think our Industrial businesses will experience contraction on a full-year basis. I think it will be not as severe as what we experienced in the fourth quarter. I think that we're looking at probably mid single-digit declines in our Industrial platforms in 2016. From a margin point of view, I think that all of our businesses are going to see margin expansion. Clearly, in our Broadcast platform, we have the benefit of the cost reduction programs we started in the second quarter. In our Industrial platforms, we have the benefit of the productivity initiatives that we announced last quarter. And as I mentioned, we've got $6 million of planned benefit in 2016 from those initiatives and an additional $11 million in 2017 bringing it to $17 million. I'd say the only platform where margin expansion may not occur, or if it did, it would be modest is with Network Security. I think the business model is intact and we're not really pursuing margin expansion, we're pursuing topline growth and we'll continue to aggressively invest in R& D. But I think that all the businesses are in really good shape given the circumstances. And I think we're going to be pretty close, if not, at the low-end of our EBITDA margin goal on a consolidated basis, and as a reminder, that's 18% to 20%. So I think we're going to be at the low end or we'll be up, close to hitting that number.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Great. That's helpful. So when circling back to Network Security, obviously, really good performance this year slightly exceeding your target. Can you just expand upon that growth that you're targeting, good results out of Asia and EMEA? Can you just discuss kind of how you're looking at the opportunity set right now in North America versus international and just generally, if you're starting to think about if you can maybe exceed the target that you laid out for us when you first made the acquisition?
John S. Stroup - President, Chief Executive Officer & Director: So I would say that the strong performance in the fourth quarter outside of the United States was predominantly good execution by our team. It's a small percentage of our total revenue today. The team made a decision to increase and adjust their investments outside the United States, and it showed up in the results in the fourth quarter. Most of the business is still being driven by U.S. commercial investment, so Enterprises in the U.S., still makes up the majority of our business. We had strong performance there. We would expect that to continue. The only area really that's been disappointing for the Tripwire team has been the Federal vertical; it's been slower than we expected. We had very good growth out of our utility initiative, which is our first target vertical within the OT sector, and we would expect that to continue. But we also have a number of other investments that we've made in other verticals within the OT initiative. So we are investing ahead of the revenue there, but we still think that that's a tremendous opportunity in 2016 and beyond. So we're very, very bullish right now on the Network Security business and the opportunities that it gives us in the other platforms.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Perfect. Thanks so much, John.
John S. Stroup - President, Chief Executive Officer & Director: Yup.
Operator: And we'll go next to Steven Fox with Cross Research.
Steven Fox - Cross Research LLC: Thanks. Good morning. First question for me, the Industrial Connectivity book-to-bill that you highlighted -- can you just sort of dig into that a little bit in terms of what types of applications or products is driving that positive book-to-bill?
John S. Stroup - President, Chief Executive Officer & Director: So I think the book-to-bill for Industrial Connectivity is 1.04.
Hendrikus Derksen - Chief Financial Officer & Senior Vice President-Finance: 1.06.
John S. Stroup - President, Chief Executive Officer & Director: Sorry; 1.06. Thank you, Henk. And if I look at the order trends, I think that the strongest order trend was in the U.S. compared to the shipment trend. But I don't have detail for you by vertical, Steve...
Steven Fox - Cross Research LLC: Okay.
John S. Stroup - President, Chief Executive Officer & Director: ...in terms of the order versus the shipments. Let me talk to you a little bit about shipments, though. So in the fourth quarter, our Industrial business, as you can imagine, it was weak – relatively weak in all the verticals, but particularly weak in oil and gas. So that was a trend throughout the entire year and it also showed up in the fourth quarter. So, discrete, as an example, has continued to hang in pretty well. And, in fact, in the fourth quarter revenues in our Industrial platforms were up in Europe. And I think that's predominately because of the weak euro and European machine builders benefiting from a better cost structure. The North America market was the one that was most challenging, and within North America, oil and gas was especially challenging. So, for example, our revenues in the oil and gas market in the fourth quarter globally were down 30%, and within United States and Canada it was down about 35%. So going into 2016, it's our expectation that our markets are going to contract again. We think they're going to be down somewhere around 3% to 5% with most of that contraction coming out of the oil and gas sector. We think it's probably down another 30% in 2016.
Steven Fox - Cross Research LLC: Great. That's helpful. And then in terms of just the Enterprise Networking business, you had good growth there on an organic basis, and the margins improved. So, going forward, I guess, two-part question. One is, is there room for further margin improvement? And then, secondly, if you think about that market, where would you expect to get growth from more so than less so as you look at the year? Thanks.
John S. Stroup - President, Chief Executive Officer & Director: Yeah. So I think the lever that's most obvious for margin expansion with our Enterprise platform is continued growth of our Connectivity business, which is obviously been the primary area of focus for the team, with the change in our go-to-market model two years ago with an emphasis on trying to drive more connector revenue. So that's clearly an area of focus and one of the best levers for margin expansion. And then, secondarily, some of the manufacturing footprint actions that we've taken, the Enterprise team is benefiting from that as well. So we are trying to address our cost structure also. But most of it, I think, is going to come through growth in the connectivity products.
Steven Fox - Cross Research LLC: Do you have the mix as to how much sales you got from connectivity for 2015 or Q4 maybe?
John S. Stroup - President, Chief Executive Officer & Director: Yeah. So for 2015, our connectivity revenue, it's still relatively small, it's about 25%, roughly, of the total business. And if we were reflecting the market, it would be more like 50%/50%. So we still have a lot of potential to sell connectors into existing customers that are buying our cable, but not yet buying our connectors.
Steven Fox - Cross Research LLC: Great. That's all very helpful. Thank you so much.
John S. Stroup - President, Chief Executive Officer & Director: Thank you.
Hendrikus Derksen - Chief Financial Officer & Senior Vice President-Finance: Thank you.
Operator: [Operator Instruction] We'll go next to William Stein with SunTrust.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking my question and congratulations on the good results today. I'm wondering if you can talk about your interest and ability to make further adjustments to the portfolio in 2016 either from an acquisition or from a divestiture perspective.
John S. Stroup - President, Chief Executive Officer & Director: Yeah. So on the acquisition side, there is obviously a couple of considerations. One is, as we mentioned already, our focus is on achieving the leverage target of three times EBITDA. So that's our priority right now. And so that's where our capital will be allocated first. And then, secondly, in my experience, when you are in a macroenvironment like this, it takes a little time for the sellers' valuation expectations to adjust. And so if you have people out marketing their business today, they have a tendency to have a expectation on price that's more rearview mirror versus forward-looking. So I think that, for those two reasons, I think if we did any acquisitions in 2016, they are likely to be modest in size. In terms of opportunities for divestitures I think that we're always considering as you would expect us to do, whether or not there are things in the portfolio that don't fit our long-term plan, whether that's vertical exposure, geographic exposure, product technology obsolescence, things of that nature. And there is certainly nothing that's happening right now that's imminent, but we're continuously evaluating it. And if we feel like there is an opportunity that makes sense for our shareholders, then we would do so.
William Stein - SunTrust Robinson Humphrey, Inc.: Thanks for that. Maybe one more if I can on the bookings trends relative to what everyone reads in the papers and what we look at on our screens all day. You alluded to this in your comments about the backlog and order book coming in. It sounds – I think you characterized that sort of in line with your expectations. It sounds, if anything, it looks like it's strengthening a bit. And I'm wondering if you can comment as to whether you think there is typically a feedback loop that would be generated at some point from folks looking at the markets and newspapers and deciding to tap the brakes on orders. And if so, how quickly would you expect that to come into play, or do you think we're well past the potential for that to happen, and instead the markets are just sort of reacting to somewhat older news?
John S. Stroup - President, Chief Executive Officer & Director: Well, I think that – first, let me clarify my earlier comments. So the comment I made about improved backlog position on a year-over-year basis was specific to our Broadcast platform. So we're encouraged by the fact that our Broadcast platform is entering the year with more backlog than it did a year ago and that gives us confidence for our growth expectation. As it relates to our orders in general, our fourth quarter orders were as we expected. Our January orders have been as we expected. It feels to me like you really just have to be very specific about your end-market as it relates to your expectations. So I think that we're going to continue to see low oil prices throughout the year. I think we're going to continue to see a strong U.S. dollar throughout the year, and that, of course, is not good news for Industrial businesses. And as a result, our expectation is our Industrial businesses are going to contract on a year-over-year basis. Our non-residential exposure within Enterprise still looks good. We have roughly a nine-month lag between the starts of new construction and our products. Right now, those are holding up well. Broadband looks good. Cyber security looks good. So I think that when we were discussing with everybody back in the second quarter and then again in the third quarter about some of the trends we were seeing, quite honestly, that was a more difficult conversation, because we were sharing information that seemed to be ahead of the market. Now, the conversation seem to be a lot easier only because I think the market is caught up. So I just feel like our view of the world right now is very consistent with what we've seen over the last six months. And at this point, we don't have anything more to add.
William Stein - SunTrust Robinson Humphrey, Inc.: If I can squeeze one more in. John, you mentioned that, I think, it's U.S. oil and gas specifically down 30% this year and next year you expect it to be down another 30%. Is that sort of – if you put those together, should we think about this as 60% below peak, or was peak actually higher and this is down even more? And specifically what I'm trying to get to is, whether the effects of this end-market are so de-risked that perhaps you could see another modest drop in oil prices and the revenue impact would be mitigated at this point.
John S. Stroup - President, Chief Executive Officer & Director: Okay. Well, let me just start by making certain that the data we share with you is accurate. On a full-year basis globally, our oil and gas business was down approximately 24%. Within North America, it was down approximately 27%. So this is more or less a global phenomenon as you might expect. We think our planning is that on a global basis, the oil and gas market will be down another 30%. That is our current view. That's all off of 2015 which is likely a peak. I don't know that for certain, but my guess would be that 2015 probably – pardon me, 2014 is likely a peak and my guess is that our oil and gas business in 2014 was the peak. In terms of how to de-risk that or sort of characterize it; first of all, it's probably important to know that with this decline, in 2015 oil and gas is 14% of our Industrial business, which means that it's roughly 5% to 6% of our total business. So if it was down further, it would be down further on a relatively small percentage of the total business. So is there a chance oil prices could go lower? Yes. I think it could. Is there a chance that the decline could be more than 30%? Yeah. I think it could. But it would be off that very small number as it relates to the entire Belden business.
William Stein - SunTrust Robinson Humphrey, Inc.: John, that's really helpful. Thanks and congrats on the solid outlook.
John S. Stroup - President, Chief Executive Officer & Director: Thank you very much.
Operator: And we'll go next to Chip Moore with Canaccord.
Chip Moore - Canaccord Genuity, Inc.: Yeah, thanks. Don't want to beat a dead horse on the oil and gas, but back in December I thought we were talking $40 oil, just on that last commentary, maybe sensitivity around that.
John S. Stroup - President, Chief Executive Officer & Director: Yeah. So when we were together in December, we tried to share with folks kind of our view on oil prices and what the impact might be. I would say that from December till now, our view on the oil and gas market is largely unchanged, maybe slightly more negative than it was in December. But as it relates to our full-year guidance for the corporation, there is as many things that changed favorably as this particular item that changed negatively. So the thing I would emphasize is that it's a relatively small percentage of the total business, 5% of the total Belden business. So in the fourth quarter oil prices came down a little bit, but at the same time, our Network Security business had stronger orders than what we expected, we saw great strength out of our Enterprise Connectivity and Broadband Connectivity business. And that's why I reinforce my earlier comments that, I think this portfolio is exceptionally well-positioned for environments like this. I never wish a recession on anyone, but I have to acknowledge that recessions are a wonderful opportunity for Belden to demonstrate what a great business we have and what a great team we have in terms of our ability to execute. And when the tide is rising, it's pretty easy for everybody to deliver good results, and when things are tough I think it's a little bit harder. So I just feel really good about where we are.
Chip Moore - Canaccord Genuity, Inc.: That's very helpful. And on the Tripwire booking strength, I know we talked about utility cross-selling starting to gain a little traction. Is that already showing up in bookings or is that something we should look out for later in the year into 2017? Thanks.
John S. Stroup - President, Chief Executive Officer & Director: Well, it was absolutely in our bookings in 2015. And I would expect it to continue in 2016. So a part of this really strong non-renewal booking growth in the fourth quarter includes utilities.
Chip Moore - Canaccord Genuity, Inc.: Thank you.
Matthew Tractenberg - Vice President-Investor Relations: Tracy, any other questions?
Operator: There are no questions – no further questions at this time.
Matthew Tractenberg - Vice President-Investor Relations: Great. Well, thank you very much and thank you everyone for joining today's call. If you have any questions, please reach out to the IR team here at Belden. Our email address is investor.relations@belden.com. Have a great day everyone.
Operator: Thank you, ladies and gentlemen. This concludes our call for today. You may now disconnect from the call and thank you for participating.